Operator: Good morning. My name is Joanna, and I will be your conference facilitator today. Welcome to Frontera Energy’s Fourth Quarter 2020 Results Conference Call. All lines are currently on mute to prevent any background noise. This call is schedule for 60 minutes. I would like to remind you that this conference call is being recorded today and is also available through audio webcast on the company’s website. After the speakers’ remarks, there will be a question-and-answer session. Analysts and investors are reminded that any additional questions can be directed to the company at ir@fronteraenergy.ca. This call contains forward-looking statements, which reflect the current expectations or beliefs of the company based on information currently available. Forward-looking statements are subject to a number of risks and uncertainties that may cause the actual results of the company to differ materially from those discussed in the forward-looking statements.
Gabriel De Alba: Thank you, Joanna. And thank you everyone for joining today’s conference call to review Frontera’s 2020 fourth quarter and year-end financial results, independent reserve assessment and the 2021 capital plan and guidance. I’m most excited to discuss as CEO succession plan as the company’s strategy. First, I would like to welcome Orlando Cabrales Segovia, who has been appointed as CEO, effective March 15, 2021, replacing Richard Herbert, who has served as CEO for the last three years. I am extremely proud of the benefit Frontera has made with Richard. Personally and on behalf of the Board, I want to thank Richard for all that has been achieved on his watch. Richard will continue to support and help Frontera in an advisory capacity with a focus on Guyana after March 15th. On behalf of the Board, I can express our excitement about Orlando becoming Frontera’s CEO. Orlando has been an independent Board member of the company since 2018 and know the management team extremely well. He also has a clear understanding of Frontera’s E&P business, the Guyana opportunities and our infrastructure assets. Having acted as President of Columbia’s Natural Gas Association, Vice Minister of Energy, President of Columbia’s National Association of Hydrocarbons, under which managed a $200 million exploration budget and with experienced at various senior roles at BP, Orlando brings extensive on the ground leadership and management experience. He also brings a strong reputation and deep relationships in the region, among his many other strengths. He’s also committed to maintaining an operating culture that has made Frontera one of the most ethical companies in the world. Orlando’s leadership and technical experience, making the right candidate to deliver value focus production, driven by sustainable cash flow regeneration and reserves from Frontera Colombian operations. While continuously making operational improvements and driving cost efficiencies across our business.
Richard Herbert: Thank you, Gabriel, and good morning, everyone, and welcome to this call. I’d like to start by saying that I am very  over the past three years since I became the CEO. We have enhanced the cultural of Frontera as evidenced by our improved health and safety performance and ethical reputation. The last week have rewarded by our recognition is one of the world’s most ethical companies by Ethisphere. Colombian upstream operations have been transformed by reducing costs and focusing on value over volumes, and we have built a strong portfolio of renewal options for the future. The acquisition of CGX and joint venture interests in key exploration blocks, including the Corentyne and Demerara blocks offshore Guyana, the VIM-1 block in the Lower Magdalena Valley of Colombia and exploration blocks in Ecuador. So first, let me turn to Q4 and the year-end 2020 results. As you all know, 2020 was one of the most challenging years in a generation. The impacts of the COVID-19 pandemic were felt in all parts of daily life and you know the gas industry was no exception. Significant decreases in oil price brought on by lower demand due to the pandemic severely impacted sector bottomlines, as global oil supply outpaced demand for much of the year. For Frontera the decline in oil prices in 2020 was an opportunity to take meaningful steps to make substantive changes across our business. In April 2020, Frontera voluntarily started higher cost production, reduced capital spending and accelerated cost reduction initiatives across the company. These actions not only preserved our strong financial position during an uncertain time, but also represented an inflection point for Frontera as we strive to become a stronger more resilient returns focused company. I’m very proud of what our team accomplished in 2020 under such difficult circumstances. We reduce capital expenditures by 69% compared to 2019, focusing spending on our core assets in Colombia. We reduce production costs by 7% and transportation costs by 10% year-over-year and we expect the cost efficiencies we achieved in 2020 to be permanent, improving the company’s cost structure and competitiveness going forward.
Alejandro Piñeros: Thank you, Richard, and good morning, everyone. The company recorded a net loss of $497.4 million or $5.13 per share, compared with net income of $294.3 million or $3.01 per share in 2019. Cash provided by operating activities was $226.8 million, compared with $547 million in 2019, contributing to a total cash position at December 31, 2020, of $401.2 million, including $168.9 million of restricted cash. Operating EBITDA in 2020 was $172.3 million, compared to $586.2 million in 2019. Capital expenditures were $108.1 million in 2020, down 69%, compared to $345.9 million in 2019. As a company focus, it’s 2020 capital budget an activities on essential maintenance, workovers and activities that sustained production from higher netback fields.
Gabriel De Alba: Thank you, Alejandro. In the past years Frontera’s business has been simplified with a focus on becoming a low cost exploration and production company in its Colombian E&P business, by creating potential large scale asset in Guyana and by generating longer term value opportunities through investments in our infrastructure assets in the Puerto Bahía dry and wet port and build deal pipeline. We have worked to improve the company’s ethical performance and reputation, driven down cost, maintain a strong cash position and created a stable cash generating exploration and production platform. Looking ahead, Frontera will focus on delivering value focus production, cash flow and reserves from Frontera’s strong Colombian operations, continuous operational improvements and greater cost efficiencies. Frontera is advancing its exciting exploration portfolio, including drilling the Kawa-1 well in the Corentyne block in offshore Guyana and building on the success of the La Belleza discovery in Colombia’s VIM-1 block with our partner Parex. Keeping a strong balance sheet, we have delivered shareholder value through dividends and share buybacks and resolve the company’s largest contingent liabilities pending final approvals. Frontera also intends to file with the TSX a notice of intention to commence a normal course issuer bid for its common shares. If accepted by the TSX, the company would be permitted under the NCIB to purchase during a 12-month period up to 5,197,612 shares, representing approximately 10% of the company’s public float. This is as calculated in accordance with TSX rules and is the maximum allowed.
Orlando Cabrales: Thank you, Gabriel. Good morning to everyone. I am very, very excited to be here today. I’m very much look forward to being a direct part of the management team in the next exciting phase of Frontera. First, I would like to recognize Richard for his dedicated leadership and efforts to progress the company over the last three years and in particularly, during what was a very challenging 2020 and thank him for his support during the transition. Now, on to Frontera 2021 capital plan and guidance. As Richard discussed, in 2020, Frontera significantly reduce capital expenditures from our 2020 guidance, pause development drilling, focus spending on our highest return assets, ensuring higher cost production. While preparing our 2021 plan, we consider various production and CapEx scenarios that would have seen increase production and EBITDA through higher development CapEx, particularly in our key heavy oil fields of Quifa and CPE-6. We expect to increase production in CPE-6 by 40% and expect to drill 15 wells and develop additional water handling facilities to progress this field. By focusing on value over volumes, we believe we have found the sweet spot with our 2021 capital plan that will optimize both, capital efficiency, cost efficiency and free cash flow after developing CapEx in 2021 and beyond. In 2021, we anticipate average daily production in Colombia in the range of 40,500 barrels of oil equivalent per day to 42,500 barrels of oil equivalent per day and anticipate exit production of approximately 43,000 barrels of oil equivalent per day. We anticipate capital expenditure this year in the range of $200 million to $295 million focused on four key areas, Colombian -- Colombia development, Colombia and Ecuador exploration, Guyana exploration and Guyana infrastructure. This includes $110 million to $130 million in development capital focus on the company’s a strong Colombian base, $30 million to $40 million to drill two exploration wells in the VIM-1 block in 2021 and to complete seismic and preparatory work in Ecuador in advance of potential drilling in 2020. $40 million to $90 million principally for the Kawa-1 exploration well on the Corentyne block, a world class offshore oil opportunity during the second half of this year and $15 million to 20 million for the Berbice Port construction in Guyana. Importantly, we forecast operating EBITDA of $275 million to 325 million. I will now turn the call back over to Gabriel for some closing comments. Thank you.
Gabriel De Alba: Thank you, Orlando. The company entered 2021 with a strong cash position and a lower cost production focus in Colombia that we believe can be maintained, be self-funded and generate free cash flow for the foreseeable future. Frontera will focus on value over volumes and will maximize returns on capital and production. The company will continue to drive costs out of the business and use its material free cash flow to invest in its exciting exploration and development opportunities. The company is working to unlock long-term value from its infrastructure assets and Frontera’s exploration and development portfolio offers exciting value adding opportunities including drilling our first well and -- in the world class offshore Guyana basin and two additional wells in the VIM-1 block with our partner Parex. Above all, Frontera will be relentlessly focused, disciplined and committed to delivering maximum value to shareholders, including via the NCIB announced last night. Thank you, Richard, Orlando and Alejandro, and thank you everyone for attending our call. I will now turn the call back to our operator who will open the call up for questions.
Operator: Thank you.  First question comes from Luis Serrano at NN Investment Partners. Please go ahead.
Luis Serrano: Hi, guys. Thank you for the call. Just a quick ones from my end. Can you give me a little bit more color on there was a sort of meaningful increase in SG&A costs and in production costs for fourth quarter ‘20? If you can give us a little bit more color there? Then also on the research, as well as a little bit more color on the decline for PDP research particularly and any expectations for 2021? And lastly, you mentioned the plan to resume share buybacks? Is there any plans on dividends as well? Thank you.
Richard Herbert: Luis, thank you for the question. So I’ll hand over to Alejandro to address the G&A and the production costs in the fourth quarter and also to talk about the -- your last question. Just on the reserves, just to point out, yes, our PDP reserves did decline. They went down from 37 million barrels at the end of 2019 to 26 million barrels at the end of last year, which is a drop of 11 million barrels, which is equates to about 30,000 barrels a day on an annual basis. So, obviously, with the reduction in our capital program last year and the decision not to draw development well, we depleted our PDP reserves. Now that we are back in a stable position, obviously, the investment program for 2021, we will see that be replenished and sustained in order to sustain the underlying production. So no real surprises in what happened to PDP last year. It’s what you would predict to happen in the circumstances. So let me just pass over to Alejandro then just to address what happened in the fourth quarter of last year on costs.
Luis Serrano: Sorry, just a quick follow up on the PDP then, obviously, it makes a lot of sense what you’re saying, but interest for 2021, as you go back to normal, should we expect that to stay relatively flat for 2020 as it not deplete further or should we expect even an increase in PDP?
Richard Herbert: Yeah. It’s very hard to predict how these movements will happen during the year. But I -- what I would say is that, it will certainly stabilized and probably increased somewhat. The -- our 1P reserve life has now extended to 6.5 from previous 4.9 years. That’s 1P is included and proved undeveloped, as well as proved developed.
Luis Serrano: Right.
Richard Herbert: And so I would expect to see us keep the Reserves Life Index stable, which means that we will be promoting both proven undeveloped barrels and approved developed to bring in new 2P network into proven. So that’s the process we will work and it certainly shouldn’t go down anymore.
Luis Serrano: Understood. Thank you.
Richard Herbert: Alejandro, would you like to address the cost question, please?
Alejandro Piñeros: Sure. Thank you, Richard. Yes. We did have an increase in production costs and G&A in the fourth quarter. The main driver is due to one cost or one-time events. In production costs we had the impact of close to $0.50 per barrel coming from remediation and cost in Peru as we exit the Block 192. There’s also an impact on FX in Colombia and also similar there was an impact on FX in G&A as well. On GMA for 2021, we’re projecting close to $3 per barrel. So that should be -- we’re projecting to maintain our G&A levels relatively low.
Richard Herbert: And if you allow me one quick comment on the 2021 plan, in the 2021 plan, we are assuming the same, I mean, almost the same production and transportation cost that we have alone 2020, a -- but of course, we will focus on continuous operational improvements and greater cost efficiencies during 2021.
Luis Serrano: Okay. Thank you.
Operator: 
Richard Herbert: There was a question on…
Alejandro Piñeros: 
Richard Herbert: NCIB, Alejandro, you can address it, would you like.
Operator: Yeah.
Alejandro Piñeros: Sure. So on the NCIB, as you pointed out, the company is focusing its shareholders initiatives on the NCIB program. We’re currently not intend to return to dividends.
Richard Herbert: All are the thing was we hear from our shareholders that the NCIB was in many cases more efficient on a tax basis than the dividend, while the company has dividend capacity at the moment, as their plan is not being reinstated.
Luis Serrano: Understood. Thank you for your call.
Gabriel De Alba: Thank you, Luis.
Operator: The next question is from David Popowich from CIBC. Please go ahead.
David Popowich: Yeah. Thanks for taking my question today, guys. I guess I was just hoping for a little bit more color on the management transition. It certainly came as a surprise to me, but I was just wondering if this was part of some previously plan management transition, as part of metrics commitment of the company or if there’s any more call, you can give us how this came about the past few months?
Richard Herbert: I mean, I can give you the perspective. Thank you for the question. I can give you the perspective from the Board side. Certainly the Board has been looking the stage at which Frontera currently and the need for a more localized focus in order to maximize production efficiencies, as well as further enhance the local relationships. Certainly, in the COVID world, the ability also to travel has been diminished. So we thought with this dynamic, the focus of having Orlando take over the baton and bring those local relationships and the local experience, as he mentioned, can help us not only on performance, including improving targets on the cost side, but also with relationships with our key stakeholders on the ground. I can tell you already that we have received very good welcoming messages from our key stakeholders in country. So we believe that those relationships can also help us unlock value, not only in the E&P side, but also on our other assets and we will be working hard with Orlando leadership to facilitate to those relationships further improvements not only on cost, but also on the other assets including the infrastructure assets.
David Popowich: All right. Thank you for that. And just as a follow up question to the previous analysts, I was also wondering about the buyback and how you guys plan to implement that this year. I mean, you guys have essentially outlined a cash flow budget. So this execution of the NCIB, is that contingent on higher oil prices and cash flow? Do you fully intend to buy back, the full 10% of the float? How will you guys be approaching that over the course of 2021?
Gabriel De Alba: Good question. As the Board and management reviewed the NCIB, the rules requires to allocate funding to the plan, otherwise we could not even file for it. And by filing it, you need to have the intention to fully execute on it. So you can count on the cash having been allocated and the intention to be fully to work on filling it up the amount that has been described. And they will have to determine the mechanics and the pricing of it, but the intention from the company is indeed to execute in full and the capital has been allocated for it.
David Popowich: All right. Thank you. And last question for me, just on the guidance for capital spending this year. So you’ve outlined a range of $40 million to $90 million for the Kawa exploration well. I guess, I was just kind of wondering why that’s such a wide range and could you talk about whether that’s a dry hole costs, I mean, does that include testing? And also how does the infrastructure spending progress in tandem with the drilling costs? I mean, is the infrastructure expense contingent on success or how is that working?
Gabriel De Alba: If you want I can give the Board’s perspective and Orlando, Richard, Alejandro, you can add. The CGX is a subsidiary of Frontera. Frontera has an economic interest of about 80% on CGX. CGX also believe a -- with Frontera has an investment plan on the Kawa well. Frontera has allocated the amount required for a JV portion, but it has also reserved what could be a larger amount for the full exploration of that well. If you read more closure on the statements, you will also be able to see that there is a -- that there are comments related to reviewing strategic alternatives. So, while we have reserved for the maximum amount, there are other strategic alternatives that are being pursued at this time. That’s why the range is there.
David Popowich: Okay. Terrific. Thank you, guys.
Richard Herbert: Yes. Gabriel, I think that is clear and nothing to add. As you said, I mean, we will be pursuing those strategic alternatives a -- and that is why the range is wide.
Alejandro Piñeros: And the infrastructure spend that is not contingent on success. That is part of the budget that has been allocated for this year as well.
Richard Herbert: That is correct. Yes.
David Popowich: Okay. Thanks, guys. That’s all for me.
Gabriel De Alba: Thank you.
Operator:  There are no further questions at this time. Should you have any further questions please email ir@fronteraenergy.ca. This concludes the call. Thank you all for participating.
Gabriel De Alba: Thank you.
Richard Herbert: Thank you.
Alejandro Piñeros: Thank you.
Operator: Thank you.
Gabriel De Alba: Thank you, Joanna. Good-bye, everyone.
Operator: Thank you.